Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the Ellington Financial Second Quarter 2024 Earnings Conference Call. Today's call is being recorded. At this time, all participants have been placed in listen-only mode. The floor will be open for your questions following the presentation. [Operator Instructions] I'd now like to turn the call over to Alaael-Deen Shilleh. Please go ahead.
Alaael-Deen Shilleh: Thank you. Before we start, I would like to remind everyone that certain statements made during this conference call may constitute forward-looking statements within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are non-historical in nature. As described under Item 1A of our annual report on Form 10-K and Part 2, Item 1A of our quarterly report on Form 10-Q. Forward-looking statements are subject to a variety of risks and uncertainties that could cause the Company's actual results to differ from its beliefs, expectations, estimates and projections. Consequently, you should not rely on these forward-looking statements as predictions of future events. Statements made during this conference call are made as of the date of this call. The Company undertakes no obligation to update or revise any forward-looking statements whether as a result of new information, future events or otherwise. I am joined on the call today by Larry Penn, Chief Executive Officer of Ellington Financial; Mark Tecotzky, Co-Chief Investment Officer of EFC; and JR Herlihy, Chief Financial Officer of EFC. As described in our earnings press release, our first quarter earnings conference call presentation is available on our website at ellingtonfinancial.com. Management's prepared remarks will track the presentation. Please note that any references to figures in this presentation are qualified in their entirety by the end notes at the back of the presentation. With that, I will now turn the call over to Larry.
Larry Penn: Thanks, Alaael-Deen, and good morning, everyone. As always, thank you for your time and interest in Ellington Financial. I'll begin on Slide 3 of the presentation. In the second quarter, broad based contributions from our diversified credit and agency portfolios as well as from a reverse mortgage platform Longbridge drove strong results for Ellington Financial. For the quarter, we generated an economic return of 4.5% non-annualized. We grew our book value per share after paying dividends, and we increased adjusted distributable earnings per share by a full $0.05 to $0.33 per share, and we see momentum for our ADE to keep increasing from here. I'm very pleased with these results. I'll first highlight the strong performance of our non-QM loan business in the quarter. In April, we completed our first non-QM securitization in 14 months. Taking advantage of the tightest AAA yield spreads we've seen in two years and booking a significant gain as a result. In the months leading up to that April deal, we've been taking advantage of strong whole loan bids in the marketplace by selling many of our non-QM loans rather than securitizing them. While the whole loan bid for non-QM loans remained very strong, we saw AAA securitization spreads tightened back to early 2022 levels, and so in April, we decided to securitize some of our non-QM loans rather than sell them. That securitization transaction not only provided attractive economics, but it also provided us with high yielding residual retain trashes to boot. Following that April securitization, we proceeded to sell other non-QM loans into that strong home loan bid. As you can imagine, given the recent risk off move in the financial markets, all this activity turned out to be extremely well timed. In addition, the continued strong demand for non-QM loans drove improved origination volumes and gain on sale margins industry-wide, which generated excellent results at our affiliate non-QM loan originators, LendSure and American Heritage Lending, and led to market-to-market gains on our equity investments in those affiliates. Meanwhile, Longbridge also contributed robust earnings for the quarter led by both strong origination volumes and strong performance of proprietary reverse mortgage loans. Similar to the boost in industry non-QM volumes, HECM origination volumes were also of significantly for the quarter including for Longbridge. But unlike non-QM, we saw wider yield spreads in the HMBS securitization markets. As a result, gain on sale margins for Longbridge's HECM business actually compressed in the quarter, which mostly offset the benefit of their high origination volumes. Finally, following quarter end, but prior to the recent market volatility, we successfully completed our second securitization of proprietary reverse mortgage loans originated by Longbridge, achieving incrementally stronger execution than our inaugural deal that we executed in the first quarter. This securitization converted another slug of short-term repo financing into long-term, locked in non-market to market financing. Again, given the risk off move we've seen in August, this was another well time transaction. That transaction also provided us with high yielding residual retain tranches. On last quarter's earnings call, we predicted a second quarter turnaround at Longbridge, and Longbridge did a great job and delivered both on a GAAP basis and ADE basis. Longbridge is an important part of that ADE momentum I mentioned earlier. Also in the second quarter, Ellington Financials results benefited significantly from the very solid performance of a residential transition and commercial mortgage loan strategies, as well as non-agency RMBS. Both for the second quarter and continuing into the third, we have added attractive high yielding investments over a wide array of our credit strategies, especially HELOCs and closed-end second, comp reverse, commercial mortgage loans, residential RPL NPL, CMBS and CLOs. The growth of the commercial mortgage portfolio has included both new originations as well as the purchase of two additional non-performing commercial mortgage loans. At the same time, we have continued to call securities and lower yielding sectors, including agency and non-agency RMBS. Since we generally utilize higher amounts of leverage in our MBS portfolios, especially our agency MBS portfolio, these MBS sales coupled with the non-QM securitization drove down our leverage ratios overall in the second quarter, despite the increased capital deployment in our credit strategies. Moving forward, we have plenty of cash and borrowing capacity to drive portfolio and earnings growth with significant unencumbered assets plus other lightly leveraged assets. That dry powder is particularly valuable given recent spread widening. And with that, I'll turn the call over to JR to discuss the second quarter financial results in more detail. JR?
JR Herlihy: Thanks Larry, and good morning, everyone. For the second quarter, we are reporting GAAP net income of $0.62 per share on a fully mark to market basis and adjusted distributable earnings of $0.33 per share. On Slide 5, you can see the attribution of net income between credit agency and Longbridge. The credit strategy generated a robust $0.80 per share of GAAP net income in the quarter, driven by strong net interest income and net gains from non-QM loans, retained non-QM RMBS, non-agency RMBS, and commercial mortgage loans. We also benefited from mark to market gains on our equity investments LendSure and American heritage lending, which reflected strong performance from increased origination volumes and strong gain on sale margins for those originators. Similar to the prior quarter, we received another sizable cash dividend from LendSure in the second quarter. In addition, with interest rates slightly higher quarter over quarter, we had net gains on our interest rate hedges. Offsetting a portion of all these gains was a modest net loss in residential RPL NPL. Meanwhile, the Longbridge segment generated GAAP net income of $0.05 per share for the second quarter, driven by net interest income and net gains on proprietary reverse mortgage loans, along with positive results from servicing. In HECM of originations, higher volumes were mostly offset by a decline in gain on sale margins driven by wider yield spreads on newly originated HMBS. In servicing, tighter yield spreads on more seasoned HMBS led to improved execution on tail securitizations, which contributed to the positive results from servicing. Notably, Longbridge also contributed $0.06 per share to our ADE, in contrast to its negative $0.01 per share contribution last quarter. Finally, in what was a down quarter for the agency mortgage basis overall, our agency strategy nevertheless generated positive net income of $0.01 per share for the second quarter as net gains on our interest rate hedges, along with net interest income, slightly exceeded net losses on agency MBS. Our results for the quarter also reflect a net gain driven by the increase in interest rates on our senior notes. This gain was partially offset by a net loss, also driven by the increase in interest rates on the sixth receiver interest rate swaps that we use to hedge to fix payments on both our unsecured long-term debt and our preferred equity. Turning to Slide 6, you can see the breakout of ADE by segment. Here's where you can see that solid $0.06 per share contribution from Longbridge, which drove the overall increase in EFCs ADE, which rose $0.05 per share sequentially to $0.33 cents. Turning next to loan performance. In our residential mortgage loan portfolio, after excluding the impacts of our purchase of one non-performing loan portfolio and our consolidation of another non-performing loan portfolio, the percentage of delinquent loans increased only slightly quarter over quarter. Meanwhile, in our commercial mortgage loan portfolio, including loans accounted for as equity method investments, the delinquency percentage also ticked down sequentially. We also had a significant mark to market gain on one of our non-performing commercial mortgage loans based on progress on the resolution process. That said, we continue to work through those two non-performing multi-family bridge loans that we referenced last quarter. While not meaningfully hire quarter over quarter, loans and non-accrual status and REO expenses continue to weigh on the ADE in the second quarter. Next, please turn to Slide 7. In the second quarter, our total long credit portfolio decreased by 2.5% to $2.73 billion as of June 30th. The decline was driven by the cumulative impact of the non-QM securitization completed during the second quarter, and net sales of non-agency RMBS retained non-QM RMBS and non-QM loans, which more than offset net purchases of commercial mortgage bridge loans, HELOCs, closed end second lien loans, residential RPL NPL CMBS, and CLOs. For our RTL, commercial mortgage and consumer loan portfolios, we received total principal pay downs of $381 million during the second quarter, which represented 21% of the combined fair value of those portfolios coming into the quarter, as those short duration portfolios continue to return capital steadily. That steady return -- that steady stream of principal payments should provide lots of dry powder to take advantage of opportunities, especially if we are entering a risk off environment. On Slide 8, you can see that our total long agency RMBS portfolio declined by another 31% in the quarter to $458 million. We continue to shrink the size of that portfolio and rotate the capital into higher yielding opportunities. Slide 9 illustrates that our Longbridge portfolio increased by 18% sequentially to $521 million, driven primarily by proprietary reverse mortgage loan originations. In the second quarter Longbridge originated $305 million across HECM and prop, which was a nearly 50% increase from the previous quarter. As Larry mentioned, shortly after quarter ends in July, we completed our second securitization of prop reverse loans from Longbridge, which locked in term non-mark to market financing at an attractive cost of funds. Please turn next to Slide 10 for a summary of our borrowings. On our recourse borrowings, the total weighted average borrowing rate increased by 11 basis points to 6.98% at June 30th. We continue to benefit from positive carry on our interest rate swap hedges, where we overall receive a higher floating rate and pay a lower fixed rate. The net interest margin on our credit portfolio declined modestly quarter over quarter, while the NIM on agency assets increased. Our recourse debt equity ratio decreased to 1.6 to 1 at June 30th, down from 1.8 to 1 as of March 31st, driven by the non-QM securitization in April, and a decline in borrowings on our smaller but more highly levered agency RMBS portfolio. Our overall debt to equity ratio ticked down as well to 8.2 to 1 from 8.3 to 1. At June 30th, our combined cash and unencumbered assets totaled approximately $764 million up from $732 million at March 31st. Our book value per common share was $13.92 a quarter, and up nicely from $13.69 at March 31st, and our total economic number of return was 4.5% non-annualized for the second quarter. Now over to Mark.
Mark Tecotzky: Thanks JR. This is a very solid quarter for EFC. Not only did we have a strong economic return, which drove book value higher per share, but we also had a sequential improvement in our ADE, which I expect to continue. Our earnings this quarter showed the value of EFCs vertically integrated platform. It's been a challenging couple years for the mortgage origination business with mortgage rates so high, housing affordability, so bad existing home sales so low, but LendSure and American Heritage lending have persevered and have both posted solid earnings in Q2, driven by a higher gain on sale margins and increased origination volumes, which led to an increased valuation for our equity stakes in them. Longbridge also contributed strongly to the ADE this quarter driven by profits in their proprietary reverse business. But at EFC, we don't just own the originators. We also buy their loans, collaborate with them on credit decisions, maximize proceeds via securitizations when the ADB is attractive, and retain what we expect to be high yielding assets from those securitizations for our portfolio. All that helped this quarter. The power of vertical integration was on full display for us. We did another securitization of Longbridge's proper verse mortgages in July and we expect Longbridge's loan origination volumes as well as their securitization volume to continue to grow in that sector. In the second quarter, we also completed a non-QM securitization and opportunistically sold more of those loans as well. Credit spreads were relatively tight in Q2, so we took some gains in a few different parts of the portfolio. Now, we are well positioned for some wider spread opportunities that we are seeing this week with the recent volatility. We had another strong quarter from our commercial mortgage platform as well. Our affiliate originator servicer, Sheridan Capital has a like-minded approach to commercial mortgage credit risk. They have been fantastic at not only sourcing opportunities, but also working with our EFC commercial team to help manage our few delinquent loans. Sheridan Capital has deep property management expertise to closely monitor construction progress, CapEx expenditures, and renovation quality control. This expands EFCs capabilities to manage non-performing loans in REO when necessary to maximize proceeds. While Q2 was a quarter of tight spreads and strong demand for structured products, this past week should serve as a reminder that market consensus can change on a dime, often leading to violent repricing in a matter of days. Look at Slide 19, we've kept many of our credit hedges in place. In Q2, they provided insurance we didn't end up needing, but they are once again showing their value in August. Hedges provide multiple benefits to us. We use them to minimize the risk of spread widening for upcoming securitizations. We use them to stabilize our NAV in times of volatility and we use them to potentially help offset some of the impact of increase corporate and consumer stress if the economy weakens. We've been adding to our portfolio of high-quality closed end seconds in HELOCs and even picked up an attractive pool late last week amid the selloff. As opposed to our non-QM loan portfolio, where we lent to borrowers who aren't served by the GSEs, these second liens in HELOCs generally are offered to borrowers with low note rate Fannie and Freddie, Ginnie Mae loans and provide a way for high quality low LTV borrowers to extract equity from their homes when having a low note rate first lien, which makes a cash out refi inefficient. We think this is a large and exciting opportunity for us and we have invested the time and resources to build out our prepayment and credit models and they've developed our sourcing capabilities. With their higher note rates, this sector adds a lot of ADE for Ellington Financial. As for the rate and spread volatility of the past week, while I wouldn't be surprised if it led to market-to-market losses in some parts of the portfolio, we also see this volatility is recharging the opportunity set with wider spreads and some price dislocations to capitalize on. Furthermore, the lower interest rates we're seeing if they stick, should lead to increased loan origination volumes in both non-QM and at Longbridge. Given that all these platforms have excess lending capacity, greater volumes should be supportive of bottom-line economics. EFC is in a good position to add assets here and we're really excited about the current opportunity now. Back to Larry.
Larry Penn: Thanks Mark. I was very pleased with our performance in the second quarter, where we saw strong results across our credit portfolios and took advantage of tight spreads to monetize gains. In particular, it was great to see the strength in our non-QM and reverse mortgage loan platforms, which drove the sequential growth in our book value per share and ADE. At Longbridge, we have more work to do to grow origination volumes further, but the positive developments in the prop reverse securitization markets and a strong July in originations should bode well for Longbridge going forward. Lower long-term interest rates could also provide a big boost to Longbridge's origination business. Since the size of the loans that borrowers are able to take out, generally increases as long-term interest rates decline. It is loan size more than loan interest rate that is the key driver of origination volumes in the reverse mortgage market, both for purchases and for refinancing. Meanwhile, both during commerce times and more volatile times, we continue to rebalance our portfolio and direct capital to where we see the best opportunities. So far in the third quarter, we've added scale in non-QM RTL, prop reverse, commercial mortgage bridge, and closed-end seconds in HELOCs growing each of those portfolios meaningfully. At this point, we are still trimming in some lower yielding sectors, but I expect the pace of that trimming to slow going forward. We are also working on adding to our financing lines specifically for our forward MSR portfolio, and I see that getting done around the end of Q3. As we've been detailing today, our investment pipeline across our diversified proprietary loan origination channels is strong and the loan originators in which we have invested are not only providing healthy flow into that pipeline, but generating operating income themselves because we have equity investments in those same originators. This in turn also helps drive our results. We continue to actively pursue making small but strategic investments in other non-QM and RTL originators, and in fact, we closed on another one following quarter end helping lock in another strategic sourcing channel. In light of the recent market volatility, I'm particularly happy to have executed on our recent asset sales and securitizations in different parts of the portfolio ahead of that sell off. These moves locked in gains when spreads were tighter and they also freed up additional borrowing capacity and capital to redeploy. We have ample dry powder and just in the past few days, we've been putting that dry powder to good use. I believe Ellington Financial is well positioned for continued portfolio and earnings growth over the remainder of the year. With that, we'll now open the call up to questions Operator, please go ahead.
Operator: [Operator Instructions] We'll go first to Bose George with KBW.
Bose George: To the first question was just about capital deployment. How would you characterize the level of capital deployment? Is there still you mentioned some dry powder, but just how much upside to ADE just from fully optimizing the balance sheet?
JR Herlihy: The first way I had to approach the question would be to look at the unencumbered in cash imbalance sheet. So, we had 565 of unencumbered and I think close to 200 of cash, and typically, we'll keep, call it, 10% of equity in cash. So that's maybe 150. If we add, so the recourse leverage on credit was 1.5x. If we took that to 2x that takes our overall recourse debt equity back to two times and adds a few hundred million more of borrowings or 600 million more I guess in that example. So, I would say in this quarter, we -- there are few moving pieces in the portfolio, but we continue to trim and cull lower yielding assets. So that's been offsetting. We went through the laundry list of credit portfolios that we grew in Q2 and into Q3, but then we also sold agency and non-agency RBS. So those are kind of working in opposite directions. But suffice to say at 1.6, overall leverage, we have lots of room both from excess cash on the balance sheet, those unencumbered assets to add leverage, and then other assets like our forward MSRs that are levered but lightly levered. You could draw several hundred million of additional buying capacity just from those different numbers. That would still take us just a 2x recourse debt to equity.
Larry Penn: This is Larry. As we trim that agency portfolio and more is focused just in the credit sectors, you could sort of think of that 2 to 1 leverage ratio I think is kind of a fully invested as being fully invested. So probably again, as we trim agency, probably not going to get all the way to two to one in terms of being fully invested, but at 1.6 we have hundreds of millions of JR said of room to add even before we get close to that.
JR Herlihy: And we're really focused on secured financing. Longer term, we have several tranches of unsecured debt at Ellington Financial and pricing for recent deals is been wider than it had been in prior years. But I think it's fair to say over the longer term, we see adding more insecure debt to the liability structure as another step that we would consider. So that would also take up the recourse debt to equity ratio, but again, I'd say a longer-term period.
Bose George: While you hedge your portfolio in a very closely, can you just talk about how the portfolio potentially benefits from a steeper yield curve, if the forward curve is right and the Fed is cutting quite a bit over the next year?
Mark Tecotzky: In terms of interest rate hedging, we've tried to hedge out across the curve. So, we don't really express an opinion on what the future shape of the yield curve is going to be to our interest rate hedges. So just kind of mathematically or on paper, the first order effect of a steeper yield curve or a flatter yield curve, we kind of neutralize that with hedges. Now, I think there's a couple other things going on. Whenever you have -- when the notional balance of your repo, it exceeds the notional size of your swaps, then a drop in financing costs is going to be a beneficial. Like if the swaps exactly equal the size of the repo and the market's predicting now, I think the base case is a 50-basis point cut in September, the Fed cuts 50 basis points. Our repo costs go down 50 basis points, but the floating leg we receive on swaps goes down 50 basis points too. So, if your repo is exactly equal, your swaps, then it's kind of washes out. When you have repo in excess of your swap notional amounts, then sort of that's a beneficial thing to you. I think the things we're thinking more about is, when you see cutting cycle start, I do think you see investors with express a preference for fixed rate assets as opposed to floating rate assets. So, we've been adjusting some of our hedges internally to be more focused on loan indices as opposed to say, a high yield bond index. So that's kind of one second order effect, I think makes sense. And it's kind of interesting, if you look at some of the recent fund flows, there's this $11 billion AAA, CLO ETF, JAAA that just came out of the blue this year. I think it's had its first outflow ever yesterday. So, the expectation of the market that you're going to see lower short-term rates that is starting to be reflected in fund flows. So, we certainly think about and how we position the portfolio. And I also do think when you see steeper yield curves that does tend to be supportive of agency mortgages and non-QM mortgages. So, I think there's some second order effects for us and we're positioning around it. But in terms of like a big move in ADE for the portfolio, I think you're only going to see that really significantly to the extent that the notional amount of our repo borrowings exceeds the notional amount of the swap hedges.
Larry Penn: And I'll just add one thing. So, I echo everything Mark said. If you look at though now -- it's now a very large second level portfolio, which is residential transition loans. So, they're short, we don't really meaningfully hedge those from an interest rate perspective. And I do think that if you see -- the rates tend to be a little stickier in that sector. I do think that if you see a drop in short-term rates, as everybody is predicting. I do think that you will actually have wider net interest margin on that portfolio because I think our repo rates, they float, they'll absolutely ratchet down almost basis point with fed cutting. But I think that the rates -- the coupons that we'll be able to get on RTLs will be a little stickier.
Mark Tecotzky: And that's the opposite that we saw when rates were rising.
Larry Penn: Exactly. We've had some NIM compression in that sector versus where we were a few years ago when rates were short term rates were a lot lower. So, I think that's one good thing to look forward. And then, Bose, I think some of the things that I've seen you've written would echo this as well, which is that let's say we fast forward to a year, a year and change from now, and we've got long-term rates and short-term rates with a three handle. That's going to be good for you're going to see mortgage rates go down across the board just on an absolute basis. And that should be really good for originators. Just you'll see a lot more refi activity, et cetera.
Operator: We'll go next to Crispin Love with Piper Sandler.
Crispin Love: First just on HELOCs and closed-end seconds, is this an area that you expect to see a lot of runways just given home affordability, higher HPA, higher rates with many mortgages in the 3% to 5% range? Or if we do get a sizable rate rally, could this opportunity diminish in coming quarters, but then you'd get the benefit from higher originations as you've as you've indicated? Just curious on your thoughts there.
Mark Tecotzky: Hi, Crispin, it’s Mark. If you just look at how many Fannie 2s and Fannie 2.5 and Fannie 3s that are out there in existence, all the stuff that was created in 2020, 2021, first half of 2022, that is an enormous pile of Fannie, Freddie, Ginnie loans. And for the second liens in the HELOCs we've been buying, the originators are targeting borrowers with those really low note rate first liens. So, if rates were just to stay where they are, that opportunity looks like it's pretty big. You're exactly right. If you saw a big rate rally and mortgage rates came down a lot, then all of a sudden doing a cash out refi is going to start to look to be comparable economics to people that are saying, I'm going to stay put with my fixed rate first lien mortgage, and if I want to borrow $70,000 to some home renovation or something, I'm going to take this close end second lien. There is a tradeoff between we're first lien mortgage rates and how big that opportunity set is? But you're exactly right. We've positioned ourselves to have at the origination table, not in Fannie Freddie space, but in the non-QM space with our originators. And so, lower mortgage rates across the board I think would be definitely supportive to the origination volume. We don't kind of think about it explicitly as sort of a hedge on origination volumes, but it certainly functions that way. We're attracted to it now because you get a real high note rate. It's very supportive of ADE. We think we understand the prepayment function and the credit quality is really strong. So, that's what's sort of been driving us. It just looks like an attractive asset to add to the portfolio to complement already what we're doing in RTL and non-QM and the private label reverse.
Larry Penn: If I could just add to that Mark. Just want to add that. Based on what Mark said right about, but rates would have to drop a lot for all those low coupons that were originated pre 2022 specially to become refinance-able. If mortgage rates are maybe they're getting close to 6% now, but you're that's still 200 basis points away. So, you're going to need a quite a big drop, I think before HELOCs and closed-end seconds are going to no longer make as much sense for people. The thing that I'm a little more sort of on the radar screen about is what's going on with the agencies? So, I don't think volume is necessarily going to be an issue for a very long time in terms of that market. But the question is with this agency pilot program coming out and all that could obviously lead to some serious competition. I mean, it's not a big pilot program, but if it becomes more than a pilot program, there could be some serious competition there. And we don't want to be competing with the agencies, but we're going to keep going. The assets that we're seeing now are looking great as Mark said, and we'll see what happens.
Crispin Love: And then just one last question from you. Are you seeing single assets, single borrower security opportunities in the current landscape? Is this an area where you're adding and would that fit well within ESBs credit portfolio on the commercial side? And just kind of curious what kind of returns you think you might be able to get right there if you are interested.
Larry Penn: Do you want me to take it JR or do you want to take it?
JR Herlihy: I think the first SASB question, that’s a part of the market we've been focused on in small size. And you see that the portfolio grew from $22 million to $42 million quarter to quarter in CMBS. So, it's still a small percentage of the overall credit portfolio. But certainly, SASB is an area that we focused on. I mean, in past years, SASB pieces have been a much larger percentage of our CMBS portfolio, and now it's much, much smaller. So, on the margin SASB the deals we're looking at in terms of how those yields pencil, I don't know if Mark you want to address that. We give the -- I'm just thinking about in our disclosures where we would give more detail. There will be more detail on in the queue on that question. But I know anecdotally, Mark, if you want to talk about some of the SASB, CMBS incremental yields you're seeing.
Mark Tecotzky: Yes, it's been a wild sector, right. So, for years, we had almost no SASB exposure. It was a market where sort of BBB's and above all kind of traded in a tight spread range and everything came at par and just didn't look that interesting to us. And now as you have this tremendous divergence of outcomes in commercial space as a function of property type, we've seen some really interesting opportunities. There have been bonds that are still investment grade SASB that have been down dollar price in the 30s and 40s. That's been an interesting opportunity for us. And the other interesting thing is you're getting a lot of new issue SASB and it's been a pretty big volume and it's pushed, spreads a little wider. So, from a leveraged spread basis, it certainly looks as attractive to us or maybe even slightly more attractive to us than some of the other sort of bread-and-butter sectors like CRT or legacy non-agency on the CUSIP side. So, yes, what's been going on in SASB has really been a lot of the focus of our CMBS team. As JR mentioned, for years, we were very active in the BPS market and just that market with not a lot of conduit issuance. It doesn't have the same opportunities yet as it used to, but the SASB opportunity on either lower dollar price distressed SASB beware, you're really doing very, very detailed analysis of the properties, and then up the capital stack to some of the bigger SASB deals that we think are coming at very attractive spreads. I definitely think you can see more capital get allocated there.
Operator: We'll go now to Douglas Harter with UBS.
Douglas Harter: Given the market volatility, can you talk about your appetite for potentially looking at more liquid assets versus your recent strategy of more proprietary created loans?
JR Herlihy: I think it's both. Like I think we've been opportunistic about that, and you've followed us for years. You look at what we did in 2020. We added a lot of legacy non-agency when a few months before that we were adding a lot of non-QM loans. So, we're constantly looking at the tradeoff between securities and loans, and we take into account the difference in financing levels, the difference in liquidity. So, I would say for this market volatility, what that means to me is that maybe you're looking for incrementally a bigger pickup in loans relative to CUSIPs than you might normally look for. And that's typically what happens when you see this volatility that sort of liquidity bases tend to accordion out, and you see it everywhere. Less liquid cells versus more liquid shell, unrated seniors versus rated seniors, all those things had been kind of going one way this year up until the last week or so liquidity spreads had been coming in, and we did some loan -- selling and loan monetizing to take advantage of that. And now you're seeing it start to go the other way. So that relative value tradeoff is something we always look at. And I think when I sit down and we discuss things with the PMs, that means to us that the threshold for adding loans relative to securities is incrementally a little bit wider now than what it was a couple weeks ago.
Larry Penn: And the other thing I would add, this is Larry, is that. We happen to be looking last week at a second lien portfolio and we pulled the trigger on that in the face of this sell off, which was great got a better price. But in general, when you have these big market moves for example, we saw some mutual fund selling or ETF selling, CUSIPs tend to trade more obviously and to be a little more volatile, in terms of just what you're actually able to buy. So, I think when stuff like that happens, the first opportunities that are going to arise are going to be in CUSIPs and absolutely if it looks like there's some for selling, we'll gobble those up. It's a little harder to kind of dial up your proprietary pipelines immediately. That's just something that is going to kick in longer. So, as you have this big risk off moves and now in the last couple days you have risk on moves, you're going to see more activity just in CUSIPs and be able to pounce on those. But longer term, as Mark said, I think our expectation is that it's going to be on the private side of the portfolio the non-CUSIP where we're going to continue to see driving our ADE.
Operator: We'll go now to Eric Hagen with BTIG. Please go ahead.
Eric Hagen: I actually wanted to follow-up right there and ask about non-agency securities repo, and your outlook there for spreads over -- to stay stable, including just the general kind of supply of capital that's coming from some of the big banks that have typically supplied that capital and maybe the appetite to continue supplying funding there for the market in your perspectives?
Larry Penn: We've seen the same thing you've seen. The big banks now are very interested in repo as a balance sheet asset, right. It doesn't have price volatility. It has a healthy spread. So, it contributes to NIM. So, it's not only traditional banks, but you also have some very large sort of investment banks that converted to banking charters during the financial crisis. So, we've gotten a lot more inbound calls from people wanting to add repo, not on the agency side, where that's kind of been stuck at like, SOFR plus anywhere between 5 and 10, but it's been on the loan side and on the CUSIP side. So, anything sort of, I'd say, SOFR plus 125 to SOFR plus 2.25, those kind of asset classes. There's been a lot of interest in lenders trying to get more borrowings on their balance sheet. And so, we've seen -- but it's like what rate a lender is at is important, but it's not the only thing that matters on the repo side, it's how easy are they to work with? What's their eligibility likes -- a million other things, but we have been able to negotiate better financing terms on loans this year than what we had in place last year. And I think that'll keep going because I think what would stop that would be, if you saw SOFR really come down a lot, but it's five and three A now. If SOFR comes down 50, 100 basis points, I think that's still going to be attractive for the bank. So that's another way I think at the margin we're going to grow some ADE is just by continuing to negotiate and take advantage and be opportunistic about the best financing levels we can get. One thing that is sort of helping that is the securitization spread. Larry mentioned tighter non-QM spreads this year that is sort of give the lenders a little bit more confidence to come down on their SOFR spread. So that has been across the board better, whether it's CUSIPs or whether it's loans. But for the CUSIPs I'm talking about, it's sort of like SASB that Chris was asking about, or CRT or legacy non-agency and the agency stuff, that's been fine for years. It didn't really widen in ‘22. It hasn't come in, that sort of stuck where it is. But anything else, we've gotten better financing terms and I do think that that's going to continue.
Mark Tecotzky: And I think especially in repo on fixed income CUSIPs, I think it has further to come down given how much spreads have tightened. And just given how -- I mean, when was the last time you heard about a lender having a loss on fixed income CUSIP repo? I mean, it's been a really long time. They're much better at managing that risk. The haircuts are high, a lot higher even than in a lot of like warehouse loan repo on the loan side as opposed to the CUSIP side. So, I think that actually has room to come down more.
Eric Hagen: One more. Can you share how much capital you have allocated to the credit hedges and how you think about maybe scaling that opportunity? Do you rotate more capital into the credit portfolio?
Larry Penn: On Slide 19, we give an overview of the credit hedges and you could see on a, what's not exactly the capital allocation but a high yield equivalent 120 million notional is our CDX, which is where most of our corporate hedges are. We have a small amount in CMBX and then European related to currency risk for the most part. So, it's meaningful and Mark went through kind of the different uses and benefits it provides. But relative to the size of our several billion dollars credit and agency portfolios, it’s small. But it does help on the margin in the ways that he mentioned. We have taken the size of these credit hedges down over time as we move more toward loans and away from CUSIPs that don't always have hedging instruments available or the need to hedge with low short spread durations, for example.
Mark Tecotzky: And they really take minimal capital to put on and maintain and they're in fact risk reducing. So, in terms of when we think about, they don't take any capital away, certainly from our ability to add assets yes.
Operator: We'll go now to Matthew Erdner with JonesTrading.
Matthew Erdner: Could you talk about current and expectations for credit performance? And then if recent economic data has kind of made you shift asset allocation, but I do know you're going more so into credit and away from the agency.
Larry Penn: Mark, why don't I take the first half of that and you can go second if that works.
Mark Tecotzky: Sure.
Larry Penn: So, on the performance of our loan portfolios, we mentioned in our prepared remarks in the earnings releases that in commercial, the delinquency percentage declined quarter to quarter. We do still have the two multis delinquent loans that we're working through. But overall, the percentage of delinquencies relative to fair value declines between the two quarters. And then in resi, it ticked up slightly by 10 basis points, call it, when you exclude NPLs that we bought during the quarter. It's and credit realized losses continue to be small, but we do highlight those two non-performing multi-family product properties that we're working through.
Mark Tecotzky: Remember, and also remember that we mark to market through our income statement. So, we've marked those two non-performers down. And so, when those resolve, we do not expect to that affect our net income in any negative way. And in fact, what it will do is free up capital to redeploy so that we can continue to boost our ADE.
Larry Penn: And the second half of your question about I think an economic slowdown and how that might change our perception of adding credit assets, would you mind repeating that and maybe Mark, if you wouldn't mind tackle with that, please?
Matthew Erdner: Just kind of if we were to kind of go into a recession, how you guys would think about asset allocation and if it would change from your current stance?
Mark Tecotzky: Yes, I guess the way I think about it is, in the early days in non-QM, we had loss expectations on it, and our originators would take loan loss reserves. And what we saw is that performance was so good, shockingly good that, they built up a [Worcester] loan loss reserves and because there weren't any losses. And so, to me, the aberration has been the really tailwind of home prices and really strong default performance from say, I mean, we started LendSure 2014, 2014 up to middle of 2022, I think performance was aberration good. And I think now we're going into -- we're in a period of time where you see some delinquencies, you're going to see some losses. But I think, it's absolutely consistent with sort of how we underwrite things. And the same thing is true for residential transition lending. You've seen the unemployment note rate tick up. Jay Powell was talking about it a lot at the press conference. We make no predictions about the economy, but we watch things like a hawk. And so, we slice and dice the data a million different ways. We've certainly seen a lot's been written about it that, there's been kind of FICO inflation, that a 700 FICO today is probably more like a 680 FICO four years ago. So, that observation or that belief has informed our credit eligibility criteria. So, we've matriculated up in FICO and I think as an originator, and this gets to the point I want to make in the prepared remarks about how -- it's not just we own originator and we're hands off, we are collaborative. And so, we give them access to our data scientists and our data and our research team to kind of come up with best underwriting practices where you can be relevant to the brokers or the correspondence you're working with, but you're getting great quality loans. And so, if we see performance deteriorations in certain parts of the portfolio, then that serves the feedback loop when you change your eligibility. So, that process, that iterative process of analyzing the data and then updating and adjusting guidelines to the reaction to it, I see that as a big part of our job. And it was a big part of our job 10 years ago, but just 10 years ago, you didn't see a lot of delinquencies. You'd look at it, say, delinquencies are fine. Let's go ahead. Now you're into sort of a much more normal regime. Home prices are more expensive, note rates are higher, people are signing up for bigger payments. There's going to be some delinquencies. And so, we monitor it, we're pricing for it, and I think we're very well equipped to respond to it.
Larry Penn: I want to add one thing. If you turn to page 12 of the presentation, you can see kind of the various segments of our loan origination business and those pipelines that we've been talking about. And you can see consumer loans, it's a very small segment compared to the others. I mean, tiny, and if you look at our portfolio generally, we are a residential focused company in terms of the credit risk that we're taking. And let's include also multi-family in that. Because that's most of our commercial mortgages in are on multifamily properties. And you can see that on another slide in the presentation. But as to your question, if we go into a recession, you'll see rates come down. And even though, there's definitely issues right on affordability of housing. There's also a lot of issues on supply. And you have those two things. You have very little supply versus the demand. But you've got an affordability problem. And so, those two things are kind of counteracting each other. But if we go into a recession again to your question and rates go down, and mortgage rates go down, which they would in that scenario. Now all of a sudden, you're really helping the affordability issue because you're going to have mortgage rates lower. And on the multifamily side, you're going to really help the cap rate issue. And remember, these are bridge loans that in terms of the vast majority of our commercial mortgage loan portfolio. So, you're really talking about valuations at the end of that 12- or 18-month term. So, with cap rates, if they come down. So, I really feel good about how our portfolio, again, being very residential based and giving the technicals of that market and, and in addition would happen if long term rates came down. I feel very good about how we would withstand that kind of a scenario.
Operator: You're next from Lee Cooperman with Omega Family Office.
Lee Cooperman: I tuned in a little bit late since I had a doctor's appointment. I have three questions. Most people own the stock for income. Given everything you had to say, you think you restore your dividend before the end of the year to the $0.15 per month level?
Larry Penn: I feel great about maintaining the dividend where it is. At this point -- no, that's not something that I would expect to raise it. But we've tended to keep our dividends stable for a long time. So, I wouldn't have that expectation of raising it.
Lee Cooperman: You would think the dividend would sustain it the $0.13 a month level?
Larry Penn: Yes, absolutely.
Lee Cooperman: The second question. You guys have been active in capital management. What is your attitude towards that presently?
Larry Penn: I think JR kind of alluded to it earlier. I think our next kind of big move on the capital management side is going to be unsecured debt. Rates have come down and those way to look at baby bonds or other types of offerings, they tend to be a little sticky. So, we're being patient and watching that market. So, I think adding unsecured debt to the portfolio I think is important. And it's also a little bit of a healthy cycle as you do that because ultimately, look, we're not rated by any of its like S&P and Moody's, for example, right now. We have a great Egan-Jones rating. But at some point, that's something we might want to look into is to get a rating from let's say S&P and Moody's and the like, and that will enable us to issue even more unsecured debt. Of course, as we add things like baby bonds which aren't rated that also helps the capital structure and can help us get those other ratings. But anyway, the next move, I think significant move, again, this is just a prediction. I can't predict where the capital market's going and they're not there yet for us, I think would be some sort of an unsecured deal.
Lee Cooperman: I need you to help me out since you guys are smarter in the credit markets than me. Everyone seems to think interest rates are too high. I actually think they're low. And the evidence I would use is the stock markets near a high. There's a lot of speculation in the market. Prior to the great financial crisis of 2008 to 10-year bond yield in line with nominal GDP. If you have inflation of 2% to 3% and real growth of 2% to 3%, the tenure would not be undervalued at a 4% or 6% yield. So, I think interest rates are going to go up, and I read the Democratic platform, which was 80 pages long. I read the Republican platform, which was 22 pages long. Nobody seems to be cared by the debt they were creating in the system. So, I think we're heading to some kind of financial crisis, and I don't know if it hits us in five years, 10 years, or it doesn't hit us at all. What's your view of what's going on in the country fiscally?
Larry Penn: So again, as Mark said, I just want to reiterate, we try not to color, and this is just us, I understand that other companies, and of course, you with your own portfolio, Lee, are going to take a different approach, but we try not to color our interest rate hedging. We try to focus more on, okay, here's where long-term interests are, here's where short-term interests are. What can we buy just given those realities as opposed to and then hedging appropriately? But I absolutely agree with you, not on short term rates necessarily, but I do agree with you on the longer-term rates that given the increasing size of the debt, budget deficits, nobody's talking about really cutting in any meaningful way. And not to mention that, it's not so clear that notwithstanding what we've seen a report or two, that wage inflation is really behind us, which is the thing that I look at most closely. I think in terms of thinking about where all of this could go. I agree with you. I think long-term rates, I think it's going to be challenging for the Fed to get even not 2% or even 2.5% whatever. And so, I think it's going to be challenging for long-term rates ultimately to get where at least maybe the forward curve the markets are predicting. I agree with you.
Operator: Thank you everyone. That was our final question for today. We would like to thank everyone for participating in the Ellington Financial second quarter 2024 earnings conference call. You may disconnect your line at this time, and everyone have a wonderful day.